Operator: Welcome to the Enable Midstream Partners Fourth Quarter 2015 Earnings Conference Call and Webcast. At this time, all participants have been placed in a listen-only mode. And the floor will be opened for questions following the presentation. [Operator Instructions] Today’s call is being recorded. [Operator Instructions] It is now my pleasure to turn the conference over to Enable’s Senior Director of Investor Relations, Mr. Matt Beasley. Sir, you may begin.
Matt Beasley: Thanks, Alicia. Good morning and welcome to Enable Midstream Partners’ fourth quarter 2015 earnings call. I’m joined on today’s call by our President and CEO, Rod Sailor; and our Chief Financial Officer, John Laws; as well as other members of management. Statements made during this call that include Enable Midstream’s expectations or predictions should be considered forward-looking statements and are covered by the Safe Harbor provision of the Securities Act of 1933 and 1934. Actual results could differ materially from our projections, and the discussion of factors that could cause actual results to differ from our projections can be found in our SEC filings. Also, please see the appendix of the presentation for a reconciliation of non-GAAP financial measures. With that, we’ll get started, and I’ll turn the call over to Rod Sailor.
Rod Sailor: Thanks, Matt. Good morning and thank you all for joining us on our fourth quarter call. Before I begin, I would like to take this opportunity to introduce John Laws, who was recently named as Enable’s Executive Vice President, Chief Financial Officer and Treasurer. John has been a senior member of the Enable team for our six years, where he has consistently demonstrated executive level leadership. I look forward to his continued insights and contributions as we move forward in this very challenging environment. Now, turning over to Slide 4 of our presentation, in 2015, Enable is able to achieve the low-end of its 3% to 7% distribution growth guidance, despite the challenging market conditions. Enable also achieved distribution coverage of greater than 1 times in 2015. We saw increased processed and interstate transported volumes in both fourth quarter and full-year 2015, driven by natural gas growth in the Anadarko basin. Turning to Slide 5, Enable is well-positioned to navigate today’s challenging market conditions. It is important to note that Enable has integrated assets in premier basins that provide a strong fee-based margin profile. In 2016, Enable anticipates its gross margin profile will be approximately 95% fee-based or hedged, due in part to the Transportation and Storage segment’s significant firm fee-based business, and the Gathering and Processing segment’s minimum volume commitments and guaranteed return contracts. In addition to the strong margin profile, Enable recently took steps to strengthen its balance sheet. In January, Enable announced that it had planned to issue $363 million of perpetual preferred units and redeem approximately $363 million of notes scheduled to mature in 2017. We’ve also lowered our 2016 expansion capital outlook to $375 million, a reduction of approximately 66% from the midpoint of previous guidance. These transactions and the reduction of our 2016 expansion capital strengthened our balance sheet, improved our credit metrics. The combination of these steps removes the need for us to access the capital markets for 2016. Turning to our commercial highlights on Slide 16, we have continued to strengthen our Gathering and Processing footprint in the SCOOP play, by adding new compression and optimizing existing assets. In addition, we now expect the Bradley II processing plant, this was formerly known as our Grady County plant, to be in service in the second quarter of 2016. In the Bakken, XTO remains active on our Bear Den and Nesson crude gathering systems. Volumes on the Bear Den crude gathering system increased in average of 6,500 barrels per day in the fourth quarter 2015 compared to third quarter 2015. And on many days we are running at full capacity. We commenced initial operations on the Nesson crude gathering system in the second quarter of 2015. And we expect the remaining portions of that system to be staged in into services, activity warrants. In our Transportation and Storage segment, we successfully completed the construction of the Bradley Lateral and extended contracts on our EGT and EOIT systems. We continue to see demand to move gas out of the Anadarko basin and we’re in discussions with shippers for our CaSE project open season that we announced last quarter. As I mentioned earlier, Enable has a strongest mix of assets that position us well in the current commodity market. Slide 7 demonstrates the continued rig activity and stability in the Anadarko basin, specifically in the SCOOP and STACK plays. 28 rigs are currently drilling well scheduled to be connected to Enable in the Anadarko basin, including 12 rigs in the SCOOP play, 13 rigs in the Cana Woodford and STACK plays, and 3 rigs in the Greater Granite Wash play. As you can see from the slide, the Cana, the SCOOP, the STACK plays compare favorably to other basins, experiencing only a 20% rig decline from last year, while other areas saw rig reductions of 50% or greater over the same period. In addition, industry participants remain bullish on the SCOOP and STACK plays. Our recent survey of over 100 respondents at the Goldman Sachs Energy Conference in January rate the SCOOP and STACK play as the second most exciting play in the new oil environment, second only behind the Permian. Turning to Slide 8, as I mentioned earlier, Enable has a significant fee-based margin profile. 43% of Enable’s gross margin for 2015 was derived from the Transportation and Storage segment, which is underpinned again by firm fee-based contracts with high quality customers that include major utilities such as CenterPoint Energy, Laclede Gas Company, OG&E, and AEP. These firm fee-based contracts provide Enable with margin certainty in this volatile commodity environment. I’d now like to turn the call over to John, to discuss our fourth quarter results and our outlook for 2016.
John Laws: Thank you, Rod. Turning to operating statistics on Slide 9, gathered volumes decreased 10% in the fourth quarter of 2015 compared to the fourth quarter of 2014. The decrease was primarily due to lower gathered volumes in the Ark-La-Tex and Arkoma basins, partially offset by higher gathered volumes in the Anadarko. Much of the decrease in the Ark-La-Tex and Arkoma basins is expected to be offset by payments under minimum volume commitment contracts. Processed volumes and NGL production increased 7% and 17% respectively in the fourth quarter 2015 compared to the fourth quarter 2014. The growth reflects continued activity by our producer customers in the SCOOP, STACK and the Greater Granite Wash plays at the Anadarko basin. Crude oil gathered volumes increased by over 15,000 barrels per day in the fourth quarter of 2015 compared to the fourth quarter of 2014. The increase here was driven by the completion of our Bear Den system, as well as continued connection of new wells to both of Enable’s crude gathering systems in the Bakken. In our Transportation and Storage segment, total transportation volumes and interstate firm contracted capacity decreased by 4% and 10% respectively in the fourth quarter of 2015, again compared to the fourth quarter of 2014. The decrease in firm interstate contracted capacity was primarily related to contract expirations on the EGT interstate pipeline. Finally, interstate transported volumes were up 14% in the fourth quarter of 2015 compared to the fourth quarter of 2014. The increase was driven by the natural gas volume growth on our Anadarko system. Moving on to our fourth quarter financial results, gross margin was $325 million for the fourth quarter of 2015, a decrease of $46 million compared to the fourth quarter 2014. The decrease in Gathering and Processing segment gross margin was primarily related to lower commodity prices, while the decrease in Transportation and Storage segment gross margin was primarily a result of lower firm transportation revenues as a result of the EGT contract expirations that I mentioned earlier. Operation and maintenance, and general and administrative expense decreased by $13 million compared to the fourth quarter 2014. The decrease was primarily due to lower integration and ongoing operating costs in each period combined with lower payroll related costs. Adjusted EBITDA was $172 million for the fourth quarter, a decrease of $29 million compared to the fourth quarter 2014. The decrease in adjusted EBITDA was primarily due to the decreased gross margin that I mentioned earlier. Distributable cash flow for the quarter was $100 million, which is a decrease of $24 million compared to the fourth quarter 2014. The decrease in DCF is primarily due to the lower EBITDA and higher adjusted interest expense in the quarter, which is partially offset by lower maintenance capital. Finally, our expansion capital expenditures were $168 million for the quarter compared to $196 million for the fourth quarter of 2014. Next, I would like to provide an update on Enable’s outlook. Given the continued decline in commodity prices since last quarter’s call, we have updated our 2016 outlook to reflect current prices and updated producer activity assumptions. This outlook also reflects the preferred equity distributions related to the perpetual preferred units and our view that we will not need to access the capital markets to meet our 2016 leverage and coverage objectives. Again in 2016, we will continue to be financially disciplined and remain focused on maintaining a strong balance sheet and the distribution coverage ratio of one times or greater for the year. We expect to provide 2017 guidance as we progress further into the year and there is more clarity around 2017 commodity prices and producer activity levels. On the next slide, we have provided an updated outlook for expansion capital. As Enable previously announced its 2016 expansion capital outlook is now $375 million, which reflects the delay of the in-service date to the Wildhorse processing plant to late 2017. We believe the $375 million is appropriately sized for the car market environment and activity levels with respect to our existing contracts. The majority of the capital is attributable to gathering pipeline compression and related capital. Importantly, our expansion capital program has flexibility and may be adjusted further as 2016 develops. Next, I want to take a moment to review Enable’s fee-based and hedged margin. As we’ve discussed in the past, Enable continues to target fee-based contracts on a firm basis. In certain contracts, Enable has protections against low commodity price environments and volume decreases. For 2016, commodity price sensitivities, we anticipate a 10% change in gas and ethane prices would have a minimal impact to adjusted EBITDA, while a 10% change in natural gas liquids and condensate prices, exclusive of ethane, would result in an approximately a $3 million change to adjusted EBITDA. The pie-chart on the right side of the slide shows our anticipated fee-based margin profile for 2016. As you can see, we expect that 95% of our gross margin will be fee-based or hedged. Turning to Slide 14, you can see our leverage profile pro-forma for the expected issuance of the perpetual preferred securities to CenterPoint Energy and the redemption of the $363 million of notes payable to CenterPoint Energy Resources. As we’ve mentioned previously, Enable is focused on maintaining strong credit metrics and these transactions will help improve our credit metrics to the equity content that’s added to the balance sheet, along with the associated elimination of a 2017 debt maturity. Once issued, we anticipate that the rating agencies will assign at least 50% equity credit to the Series A perpetual preferred units, while the covenant calculations on our Enable’s revolver and term loan will treat the instrument as 100% equity. On a pro-forma basis, Enable’s leverage ratio would improve from 4.1 times to 3.87 times assuming a 50% equity credit for the perpetual preferred or 3.64 times assuming a 100% equity credit. With the strong leverage ratio approximately $1.2 billion of liquidity at year-end, no near-term debt maturities and a flexible capital program, again, we do not expect the need to access the capital markets in 2016 to meet our 2016 objectives. With that, I’ll turn the call back over to Rod for his closing remarks.
Rod Sailor: Thanks, John. 2015 was a volatile year for our industry and we expect 2016 to be even more challenging. But with capital flexibility, significant fee-based firm cash flows from a strong asset footprint, strong credit metrics and ample liquidity, we believe we are well positioned to tackle the current environment. Enable will also be focused on maintaining a strong balance sheet, 1 times or greater coverage. Finally, Enable holds a significant footprint in the strong SCOOP and STACK plays. And we have a significant gross margin contribution from stable firm fee-based contracts in our Transportation and Storage segment. And with that, I’d now like to open the call up to your questions.
Operator: Thank you. The floor is now open for questions. [Operator Instructions] And we’ll go ahead and take our first question from Ali Agha with SunTrust. Please go ahead. Your line is open.
Ali Agha: Thank you. Good morning.
Rod Sailor: Good morning.
John Laws: Good morning.
Ali Agha: My first question was just to understand the priority of management between maintaining an investment grade rating and your distribution profile to unit holders. So how important is the investment grade rating for Enable. And if there was a scenario would you consider cutting your distributions to maintain that investment grade or do distributions take more priority?
Rod Sailor: Well, it’s a great question, thank you very much. And I think we feel like in this environment that it is very important to maintain a strong credit profile, it’s very important to be at or above one-time coverage. I think the investment grade rating is important to us. Again, as you are aware, S&P took some actions early this year around the CenterPoint’s announcement of the review of strategic alternatives. We are disappointed in that action, but we still have strong ratings from Fitch and Moody’s. It is important to us. We think that it is a strategic advantage going forward. I would just point out our current guidance assumes no equity issuances in 2016. And with that we’ll be coverage at or above one times that our credit metrics would in line within investment grade credit rating. But let me reiterate again, Ali, that our focus in 2016 and going into 2017 will be the balance sheet and maintaining coverage. It’s a volatile market and there remains a fair amount of uncertainty as to what our customers are going to do. So we will continue to look at what we think makes the most sense for our business as it relates to the cash we generate.
Ali Agha: Okay. And then, secondly, you talked about updating the 2017 guidance as the year moves forward. So the 2017 guidance you had given us back in November is no longer valid, or can be directionally assumed it will be at a lower amount in there, or can you give us some sense and should you put that…?
Rod Sailor: I think the way to think about 2017 is, again, we are not giving that guidance. So that guidance really - we are only pointing to 2016 right now. Producers are just now going through their 2016 budgeting process and releasing that information. If we had better 2017 information, we would update our 2017 guidance that we had previously put out there. We just don’t know, again, as we all know, 2016 started out with very low crude prices. And I think producers are still working through what they anticipate 2016 will look like in this environment. And it would just be inappropriate for us to refresh our 2017 guidance based on information that we currently just really don’t feel like is valid for - to basically put a stake in the ground out there. I would say this, as you can tell by a couple of our slides in our presentation, we continue to see a lot of activity in the Anadarko basin, a lot of our G&P growth is based - or it is based on activity, and in the STACK, the SCOOP, the Cana plays and there are significant number of rigs in there, and we think that a significant number of rigs will stay in there. But, again, there’s just enough uncertainty around crude prices in 2017, that we felt the best thing to do at this time was to not give any 2017 guidance, and wait till later in the year, when we saw more –had more and better information from our customers.
Ali Agha: Understood. Last question, and you alluded to this in your comments as well, from Enable’s perspective, what is your view on this announcement by CenterPoint on looking at strategic alternatives and how you see that play out from Enable’s perspective?
Rod Sailor: Well, again, I would just say that, again, we’re all aware that they made the announcement that they needed to explore alternatives - strategic alternatives around their investment in Enable. Again, I think specific questions around that really should be asked of CenterPoint or directed to CenterPoint. I would say this, CenterPoint showed a strong support for their investment in Enable through the announced investment of $363 million in the preferred security. Our interaction with CenterPoint is primarily at the board level and they continue to be constructive and supporting as to our operations and our directive - and are shooting [ph] in our direction.
Ali Agha: Thank you.
Rod Sailor: I just - again, it just wouldn’t be appropriate to comment any more than that on, on what they may or may not do related to their investment in us.
Ali Agha: Understood. Thank you.
Operator: Thank you. [Operator Instructions] We’ll go ahead and take our next question from Michael Blum with Wells Fargo. Please go ahead. Your line is open.
Michael Blum: Hi, thank you. Good morning, everyone.
Rod Sailor: Good morning.
Michael Blum: I wanted to ask if you could walk us through - give us some information on how you are thinking about counterparty exposure, particularly on the E&P side and the Gathering and Processing business. And can you - anyway you can break it out for us in terms of what percentage of your customers are investment grade versus non-investment grade? And then specifically, if you still have Chesapeake exposure, how big is that right now?
Rod Sailor: Sure. That’s a great question. Thanks, Michael. I will turn it over to John for the specifics. But again, I would just remind you that as you think about credit in our space, especially on the G&P side, we’re primarily building out to the wellhead. We’re capturing those molecules at the wellhead. We bring them to our system, sell them and then remit the proceeds back, largely back to those customers. And so, that does give us some surety of cash flow. And then, I would also say that, again, with the way we hook up to the wellhead, again, we typically find ourselves on a very favorable position as it relates to any outcomes in a credit situation. But that said, I’ll let John get to the specifics of your question.
John Laws: Yeah. Sure. Thanks, Rod. And on the G&P side I would direct you to think a little bit about credit exposure in a couple of different ways. One, on the - if you think about the different basins where we’re in, we’ve talked historically about the Ark-La-Tex and Arkoma being predominantly dry gas basins, where we haven’t expected a lot of volume growth. We have talked about the margin there being protected through the minimum volume contract arrangements. And I would say that continues to be the case. And if you look at the top 10 customers that we have disclosed, where we’ve received those MVCs from, they are from the likes of XTO and now Vine Oil & Gas, which is stepped up through the purchase of the Shell interest along with GeoSouthern’s purchase of Encana’s interest in the dry gas plays. We feel pretty good about those exposures there based on our dialogue there and some of the contractual support that we have around the credit arrangements there. If you think about the Bakken, XTO is another source where we’ve talked about or pointed to having some MVCs in that area. We also have a full system in that area in the Bakken with our primary shipper there being XTO. But when you think about the Anadarko basin, it is worth mention here that we’ve got some strong customers in Continental, Devon and Apache that are flowing us significant amount of volumes on us in the Anadarko system. But when you think about credit exposure, we continue to think about our exposure there as not so much as being credit exposed on the G&P side, but more continued exposure to volumetric changes as producers continue to change and revise their outlook. And I say that, because typically the way that our contracts work in the Anadarko areas where we create a financial - we financially settle with our customers each and every month based on financial arrangements that we have at the wellhead, such that we’re remitting proceeds back to our customers net of our fees. And so, we don’t take a lot of direct credit exposure on the G&P side.
Michael Blum: Great. Very helpful. Thank you. My second question is just on the CapEx for the year, the $375 million. Can you talk about how much of that is sort of committed capital where you absolutely have to spend it, no matter what, and versus capital where you expect to spend that capital but you haven’t yet really committed to and so there probably is flexibility?
John Laws: I would say the way to think about that is the majority of the capital there is fairly flexible for us. We do have some CapEx that is going to be tied and committed as it relates to our processing plants that we’ll be wrapping up, the Bradley II plants, some additional spend that may be necessary to keep our Wildhorse processing plant, but that’s been delayed. Just some wind-down there through 2016. But the majority of our gathering and compression related capital is - I view that as fairly flexible and something that can be timed or adjusted as we see volumetric changes come to us.
Michael Blum: Okay, great. Last question for me, Laclede has talked about on their call wanting to diversify their gas supply and source some of their gas in the Marcellus-Utica. And so, my question is really about like the long-term commitments on MRT and how you think about what happens to that capacity over time, and are there other potential customers that could take some of that capacity, if Laclede doesn’t.
Rod Sailor: Yes, I mean, I can - this is Rod. I can start that and we got Chris here, who is responsible for commercial operations on the Transportation and Storage side, who can weigh in. But I’d say, we are very familiar with that project, and candidly, we think that our MRT system is very well positioned to potentially take advantage of moving Marcellus gas south. And so, again, we think that there are probably opportunities for us to explore related to that, clearly that system currently serves Laclede. And - but we do think, as I said that, there will be other opportunities, again, if there is a significant Marcellus gas getting landed in St. Louis for us to potentially think about ways that we can use I think a very strategic piece of pipe. But I’ll let Chris talk specifically around maybe the contracting issues.
Christopher Ditzel: I think, Rod, you’re right that project represents kind of a change and increase in the flexibility of the MRT system that provides more access to gas supply and other - from other parts of the country and also ties that supply to the - or Perryville Hub on the ETT system, so we see a lot of opportunity around that. We do have some contract expirations coming up on MRT for Laclede, but that’s a kind of a normal re-contracting process.
Rod Sailor: And I think they are only a couple of years out.
Christopher Ditzel: Yes, couple of years.
Rod Sailor: Yes. So it would be a kind of 2018 issue. I think that the announced - that project could be a 2018, 2019 project, if I recall the press release, so…
Michael Blum: Great. Thank you very much.
Operator: Thank you. And our next question comes from Nick Raza with Citigroup. Please go ahead. Your line is open.
Nick Raza: Thanks, good morning, guys.
Rod Sailor: Good morning.
Nick Raza: Good morning. Just a couple of quick items for me, specifically on the Ark-La-Tex and Arkoma, from what I recall last, the MVC number was about 1.5 Bcf a day. How much of that is actually kicked in and sort of preserving the gross margin in the G&P segment?
John Laws: Yes. We’ve got a fair amount of margin that will be sourced from those contracts that were flowing well beneath the MVC thresholds. We have been in that posture really since we came out and talked about it at the IPO and continue to find ourselves there. I would say, however, we are saying some rig activity in the area. We’ve seen four rigs come to the play from, I think, Vine Oil & Gas is operating those rigs. And so, we are seeing that decline being staved-off a little bit from some of the new wells and rigs that are coming on. But we do find ourselves fairly meaningfully into the MVCs on those contracts in that area.
Nick Raza: Okay. And then, just on the Bakken side, have you disclosed what the MVC is with the XTO?
John Laws: Now, not explicitly, I think that is also a minimum volume of guaranteed return type of a contract structure that’s there. But, again, I think we did receive and talk a little bit about some early MVC payments that we were made there as that system was coming online. But, again, now we are in a situation where we are at capacity, at the design capacity for that system. So we are not…
Rod Sailor: We’re above those MVCs as we said now.
Nick Raza: Okay. And I guess, just a last bit of questioning from me folks is, relating to the CenterPoint transaction, they have announced that they are looking at strategic alternatives for their stake in Enable. Is there - do you think there is value for you guys to be part of OGE, I mean, given the fact that there is sort of a lot of overlap. I mean, you have folks who went over there and are in the suites, in the C-suite as it were. And in addition to that, I mean, they provide you with lot of electricity for your compressors and you provide them with a lot of gas for their generation facilities.
Rod Sailor: Well, again, I think Enable is in the correct form that it needs to be and to compete. Again, we have a significant transportation footprint. We have a significant multistate gathering and processing footprint. And so again, I think Enable is probably best positioned in the form that it is in. Again, I think it would be - probably would not be responsible of me to comment on what CenterPoint may do, what OG&E may do. But again, I would just say that we have interaction with both of our sponsors at the board level and they both are highly supported by our operations, our business plan and our strategic direction. So again, I think we are aligned the way we need to be aligned.
Nick Raza: Okay. Fair enough. And, I guess, the last question I have and certainly feel free to tell me that we can discuss this offline. But in terms of conversion of the preferred to common, I mean, is that on a one-to-one basis, if you guys were to be taken out and bought out?
John Laws: Now, there are some conversion mechanics that we can point you to in the document where and how that would come into play.
Nick Raza: Okay. All right. That’s it for me guys. Thanks.
Operator: Thank you. And our next question comes from John Edwards with Credit Suisse. Please go ahead, your line is open.
Unidentified Analyst: Hey, good morning guys. This is actually Andrew on John’s line.
Rod Sailor: Hey, good morning.
Unidentified Analyst: So real quick, we just noticed that you guys brought your EBITDA and DCF assumptions down versus 3Q. I was wondering if you guys could just talk a little bit more about your assumptions there and really what drove that down?
Rod Sailor: Which assumptions are you referring to again, please?
Unidentified Analyst: Just the adjusted EBITDA, so your $780 million to $840 million, first is what you guys reported or what you guys gave and…?
Rod Sailor: For previous guidance change, yeah.
John Laws: Got it. I would say the primary color there again is further erosion in the commodity prices and backdrop there, which has changed a little bit the outlook on our activity levels for the system, has driven that primarily. And we have also updated some of our assumptions around our Transportation and Storage business. But those are really the primary drivers of the - for the changes down.
Unidentified Analyst: Okay, great. Thanks so much. That’s all from us.
Operator: And it does appear we have no further questions at this time. I will now hand the program back over to Rod Sailor for any additional or closing remarks.
Rod Sailor: Yes, well, thank you very much. And again, I’d like to thank all of our employees for their focus on safety and their continued resolve in this challenging environment. Again, I think we had a very good quarter for 2015. I think we are very, very well-positioned for 2016. As couple of points we talked about, I just want to reiterate here again. We do have capital flexibility still around our $375 million of capital, that we will make decisions on that based on return, so we’ll continually high-grade our opportunities within that capital program. As we talked about, I think our financing plan for 2016 is set. We do not need the access of the markets for 2016. And then again, we continue to look at ways that we can continually strengthen our balance sheet and protect our coverage. We think it’s very important that balance sheet and coverage are a focus as we go through 2016. And we position ourselves for 2017. And finally, I just like to thank everybody on the call for your continued interest in our company. And with that, thank you all very much. Have a good day.
Operator: Thank you. This does conclude today’s teleconference. Please disconnect your lines at this time. And have a wonderful day.